Operator: Hello, and welcome to the alstria 9 Month Results Conference Call. [Operator Instructions] Please note, this call is being recorded. Today, I am pleased to present Olivier Elamine, please begin your meeting.
Olivier Elamine: Thank you very much, and welcome from sunny Hamburg this afternoon. Thank you for your interest in alstria. My name is Olivier Elamine. I'm the Chief Executive of alstria, and I'm joined here today with Maximilian Koch, which is running alstria advisors, which we'll be discussing in the presentation, also the -- everything which relate to the asset side. Before we start, I'd like to go into the usual disclaimers if I can figure out how to move the slides. So the usual disclaimer about the duty to update and the forward-looking statements. And without undue delay, stepping into the presentation. Starting with the reorganization, as you know, the company is preparing to migrate its headquarter to Luxembourg. It has transferred all its operations to a company called alstria advisors, which is headed by Max, which is going to be introducing in a few seconds. Some of you have met him before. The alstria advisors has been deconsolidated, which is one of the main accounting impacts that we have as alstria itself doesn't have a majority ownership in it. And we are continuing the presentation with preparation for the migration to Luxembourg. This is all, from our perspective, a very big distraction compared to the underlying business. None of this is impacting the long-term strategy of the company. And we do expect to have an extraordinary charge of around EUR 3.2 million in our accounts with respect to all the work related to the migration to Luxembourg. The underlying business, which is happening in parallel, irrespective of what we're doing on the corporate organization is developing pretty much according to plan. Our revenue for the 3 quarters of 2025 were at EUR 146.2 million, in line with our expectation and in line with the guidance, which we assume we're going to achieve at EUR 192 million for the full year. And our FFO has also developed pretty much in line with expectation, currently at slightly short of EUR 40 million and expected to be closer to EUR 52 million at year-end. The drop in FFO is obviously mainly driven by the increase in interest rate as we terminate some of our legacy loans and then we move into the new normal in terms of interest rate. As you know, we did issue a final bond in -- after the closing of the accounts, and that will basically terminate all our legacy loans, and we now have a more stabilized financial structure, which take into consideration the new normal in terms of [ where ] our interests are. From a balance sheet perspective, we'll go into that in a bit more detail. We had an improvement in the equity position in the company, which is reflected then in the EPRA NTA and the net LTV, which is pretty much in line with what it was last quarter. I'm not going to dive too much into the leasing and the transactions, which Max is going to touch on in a few minutes. But just one word on the leasing, we're basically having the second best year in leasing since the history of the company. So it's a very strong year 2025 from alstria perspective. And on the transaction side, we have sold so far this year around EUR 26.5 million of assets. Our target for the year, as you know, is around EUR 80 million, and we're still confident that we're going to get there looking at the pipeline that we're currently working on in terms of disposal. We're seeing more transaction activity in the market, but we will also have the opportunity to discuss that a bit further. I hand over now to Max to walk you through some of the portfolio data.
Maximilian Koch: Yes. Thanks, Olivier. Hi, everybody. Most of you will be familiar with the portfolio, so I'll keep that part relatively short. As you can see, we are diversified across 104 assets in 5 out of the 6 largest German office markets. Our portfolio is currently valued at EUR 4.2 billion, and the average asset size is reasonably small, around EUR 40 million or just 13,400 square meter. And as you know, we care a lot about the square meter value of our assets, which at EUR 3,000 per square meter right now is also reasonably low in the German context. And for those of you familiar with our business model, that is essential to us because it gives us a good starting point for our refurbishment process and also offers a significant margin of safety versus the cost of new build assets even after we've modernized the buildings. And that, in turn, then allows us to be competitive on the rental pricing for offering the same quality as a new build essentially. Vacancy and WALT are also pretty much stable. And our contractual rent is also at EUR 201 million. As you know, there's a significant gap to market rents, which are around EUR 300 million. And through our refurbishment process, we are working to close that gap. And all that translates into a current yield of 4.8% on today's low in-place rents. And with that, moving to the leasing side of the business. Olivier stole my thunder earlier, but we are having a really good year in terms of leasing. It, knock on wood, will turn out to be the second best year in terms of leasing in the history of the company. As you can see here, that's about double the leasing volume for the same period last year, and we're actually on track to do quite well. So in the market that still has some uncertainty around the investment side, we actually believe that this proves out our strategy of continuously investing into our assets and is rewarding us for doing that. We can actually see a larger trend that large corporates are back into the market. So whereas the last few years, they postponed the decision to lease new office space. We have signed, for example, 15,000 square meter with HOCHTIEF in Essen, 14,000 square meter with [ Vela ] in Darmstadt and 12,700 square meter with Daimler Truck and a data center operator in our Sternhöhe campus in Stuttgart. And while those large corporates are back into the market, some of them are taking less space, but then in turn, they're willing to pay more for the square meter for quality space. And that obviously, since we are able to attract those tenants, helps us to make our existing space more valuable in the process. And with that continuous investment into our properties, we can drive up rents in the new lease part that you see here in the green bars and maintain a stable cash flow with the renewals. And that -- all of that together is resulting in a 3.3% CAGR that you see at the bottom right part of the page here over the long-term rental growth of the company. And with that, back to you, Olivier.
Olivier Elamine: Thanks, Max. And moving on to the profit and loss and looking at all the work on the real estate. It's translating on the company P&L. There is usually a bit of a time lag between the moment where we sign the leases and the moment where the income hit the P&L, which kind of explain the slight drop in rental income, which is mainly linked to seasonality rather than anything else and also linked to some of the asset sales, but mainly seasonality. The fund from operation is lower, as we discussed before. This is mainly driven by the increase in the financing costs of the company, which is eating up into the FFO. And finally, just spending a bit of time on the SG&A, given that with the deconsolidation of alstria advisors, there is a bit of change in how our P&L is looking for. We're obviously in 2025 in a bit of a hybrid year where we had the personnel on alstria's balance sheet for almost 6 months and then as they move out of the balance sheet. The remuneration of alstria advisors is on a cost-plus basis. So essentially, personnel costs and admin costs are being translated into advisory costs. And so we will have little personnel cost for the few people who remain within the company, but most of the costs are now on the SG&A going to be shown as advisory costs moving forward, which is what's reflecting right now. The increase in SG&A year-on-year is essentially reflecting the cost of the migration itself. So those are the one-offs we've discussed before, which I wouldn't expect to resume next year. If we move on the balance sheet, investment property is up. There is a multiple factors at play here. One of them is the fact that, obviously, we've been investing in the portfolio, as Max highlighted. We're still working on our refurbishment project. We still think that investing in the portfolio is allowing us to drive rental income substantially up and drive the value at the company level, one other effect which is driving the increase in investment property is the consolidation of alstria advisors. So all the offices that we currently occupy, the room I'm currently in were booked as property, plant and equipment before and now have moved back into investment property. So this has also a minor impact on the increase in investment properties compared to where we were at the end of the year. On the equity side, we have an increase by almost EUR 100 million, which is driven essentially by 2 main factors. One of them is obviously the P&L and the net income that the company have generated since the start of the year. The other part is the change in deferred tax liability. You might be aware that Germany have voted a decrease in the overall tax rate of the applicable 2 companies going forward and that the change in tax rate over time basically generate around EUR 58 million of lower deferred tax liability, which then translates into almost an equivalent amount increase into the equity of the company. The net financial debt of the company is broadly stable at EUR 2.4 billion. And I'll go back into more detail on that last point in the next few slides. So if we look at the financial debt as of the reporting date, we basically had 2 bonds maturing in '26 and '27 and Schuldschein unsecured German security maturing of EUR 40 million maturing in 2026. And the rest of our maturity is short-term maturity with the next 3 to 4 years is mainly mortgage debt. As you know, we did issue a bond in July -- in July, no. It was in September. In September -- July, we issued a bond at the Holdco level September. And part of that bond purpose is actually to refinance the '26 and '27 debt, unsecured debt. So we do have the proceeds of those bonds. We went through a liability management exercise where we bought back EUR 109 million worth of those loans -- of those bonds and the remaining would then be repaid at maturity using the proceeds that we have generated from the bond. The extra proceeds in addition will be used for the refinancing of the mortgage debt, we will be using 100% of the proceeds to refinance existing debt and also to hedge our existing debt. As you know, we have an active hedging policy to make sure that the company remains on the right side of the EBITDA level from a covenant perspective. And so part of the proceeds of the bond are also used for that purpose. If we look at the credit KPIs, the net LTV of the company is at 55.7%. I think there's a type which I would like to highlight here in our press release, which shows a slightly different number, but the correct number is 55.7%. The unencumbered assets has increased slightly in the period because we've been repaying some of the unsecured debt -- some secured debt, sorry, and also because we've been investing in the unsecured assets, which basically increased the value of the unsecured assets. The consolidated adjusted EBITDA is down, and this is mainly linked to the fact that we have changed the accounting policy of the company. And so a lot of the expenses which were capitalized in the past are now expensed, which then have a negative impact on the EBITDA. But then from here on, I would expect this to be pretty much stable. And the coverage ratio, which needs to be higher than 1.8x, is currently at 2.1x. And as you know, that's the only essentially hard covenant that the company have, which we are managing extensively through our hedging policy going forward to stay north of the 1.8x, which is required by our bond documentation. We have been pretty active over the first 9 months of the year in terms of refinancing. And so year-to-date, we have almost EUR 1.3 billion of refinancing, which includes EUR 1 billion of bonds, one early in March and one in early Q3. And the other one, we also have EUR 300 million of new mortgage debt. There was also a refinancing at the Holdco level, which is not related directly to alstria. but I also wanted to highlight here that you can find the Holdco documentation on our website as well. There is a special section for that. Again, from a pure corporate perspective, alstria is not a party to the Holdco bond. It doesn't affect us from our perspective. This is just equity, but we do support the Holdco by providing a platform for them to provide you with all the information which is required, which is available on the website of the company. We did also a number of liability management exercise and bought back some of the bonds. And we end up right now with around EUR 450 million of unrestricted cash on the balance sheet, which is translate -- which is essentially the proceeds from the bond that we issued in Q3 as well as the cash, which was available to the company before. And the purpose of that, as I mentioned before, will be to refinance the 2026 and 2027 exposure, both on the bond side and on the mortgage side. Another thing which I wanted to spend a bit of time today is Q3 results. And I think for the last 12 years now, we've been publishing our ESG data in line with our Q3 results at the same time as our Q3 results. This year is no exception. You can find on alstria website the full ESG data, which is available. We have -- we do not publish any more the sustainability report per se. We are currently working on the transition to the CSRD aligned reporting, and therefore, we publish more kind of information about -- qualitative information about what we're doing together with our full year results, which we're going to be published sometime in March. But the entire set of data is available on our website and all the ESG KPIs are available on our website. The data has been assured by KPMG, and we have a robust assurance process going through them. What's interesting is, as you can see, this -- in 2024 -- here, we're reporting data from 2024, we had an increase in the heating intensity and the carbon intensity, which essentially reflect the fact that there were some constraints which were driven by law in Germany following the war in Ukraine and the fear of missing energy and heating. And those constraints have been released. And as a consequence, we -- our tenants, because this is mainly our tenants, went back to the situation before. So all the savings that were generated in 2022, 2023 has been lost essentially simply because the constraints that we were forcing those savings do not exist anymore, which is a bit sad, but it is the situation as it is today. So we had a slight increase in both the carbon emission and the heating on the portfolio. Having said that, we're still pretty much in line with our science-based target to basically reduce our emission in line with the 2% by 2050. Finally, on the outlook, very briefly, we do confirm our guidance at EUR 192 million of revenue and EUR 52 million of FFO. The investment market, we've discussed that briefly before. What we're seeing today is slightly more activities as we would expect. We expect 2026 to increase the activity and to be a year where the market is going to normalize and a full recovery in 2027 and 2028. And the current business plan of the company is basically assuming that the market will develop in line with those elements. The leasing market remain relatively active and as is reflecting in the number that we are publishing. We have seen and Max have highlighted the fact that the volume on the market are mainly driven by large tenants, which are back. And so we expect this trend to continue going forward. And we expect the dynamic in the letting market to continue. We see that currently in our numbers in Q3. So I would expect that our overall letting result is going to be higher at the end of the year than what it is today. And that's it from our perspective. We'll be happy to take on your questions and go through the Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Mary Pollock at CreditSights.
Mary Pollock: I just want to make sure I understand all the drivers here with regards to the EBITDA line. It was lower than I expected. And so the ICR is lower than I expected. Just so I -- there's the $3.2 million one-off in SG&A. Is that included in this number? Or is it adjusted out?
Olivier Elamine: I think it's adjusted out. The change in the EBITDA are mainly driven by the fact -- I mean, if you look into the quarterly results in the IFRS report, you will see that we have adjusted the accounting policy at the beginning of the year, and that basically imply that we are now expensive -- expensing, sorry, a lot of the expenses that were capitalized in the past. And as a result, they now run through the EBITDA, whereby previously they did not. So I think we're providing a fair view of how things are. And we have started that process kind of since the beginning of the year. The EBITDA that we're publishing here is always backward looking. So it looks -- it's how it's defined in our bond documentation. So it's basically look at what was published over the last 4 quarters. And that's what you -- what's being reflected right now in the numbers.
Mary Pollock: That's helpful. And do you still expect your ICR to trough around 1.9x next year?
Olivier Elamine: Correct. We're trying to maintain around the 2 mark, 1.9 mark this is what we are managing towards.
Mary Pollock: And can you help -- you also mentioned the hedging policy as a driver there. Can you help us understand how that impacts interest cost?
Olivier Elamine: Well, the way the covenant works is it basically compares the EBITDA to the cash interest, which are being paid. And essentially, our hedge portfolio basically reduced the amount of financial costs being paid essentially.
Mary Pollock: And -- sorry, just two more for me. The first is on your -- on the balance sheet. Now there's the share of the equity invested JV or associate. Am I right in thinking that is a percent you own in alstria advisors? And what percent is that, that you own in it?
Olivier Elamine: So we have 83% of the economic rights. So we get 83% of the profit that's generated by alstria advisors, but we only have 49% of the voting rights. And so the intention here -- the reason why it's structured like this is we -- alstria should not control alstria advisors. So I should not be able to direct alstria advisors, which is why we only have 49% of the voting rights. But we also wanted to make sure that the structure here is -- it's not the intention, but it's clear for everybody that basically, it's not structured in a way that's going to drive profit away from where the bonds are essentially. So the profits stay within the group and doesn't move away.
Mary Pollock: Great. And last one, this is on actually the Holdco, but I'm going to ask in case in Holdco filing for half year, I haven't seen the 3Q on the website yet. It says that there's debt of EUR 699 million. That's obviously more -- much more than the bond that was issued at that level. So what is the rest of that EUR 400 million of debt at the Holdco?
Olivier Elamine: That unfortunately, I cannot answer because I don't know, but I can clearly pass on the question. If you have our contact detail, if you don't mind dropping us an e-mail, and we'll come back to you on this one because I don't have the answer to that question, I'm sorry. By all mean drop us a line, right?
Operator: [Operator Instructions] And at this time, we have no further questions. I'll turn the conference back over to management for closing remarks.
Olivier Elamine: Well, thank you very much for your interest, and thank you very much for joining us this afternoon. If you have any follow-up questions, as I mentioned before, you can always reach us or reach Ralf at ir@alstria.de or our direct e-mails. We're looking forward to speaking to you probably next time around. We're going to be in Luxembourg doing this call, but for the full year results. Thank you for your interest, and have a nice end of the day. Thanks.
Maximilian Koch: Thanks, everybody.
Operator: Thank you. This now concludes our presentation. Thank you all for attending. You may now disconnect.